Operator: Hello, and welcome to the LyondellBasell Teleconference. At the request of LyondellBasell, this conference is being recorded for instant replay purposes. [Operator Instructions] I would now like to turn the conference over to Mr. David Kinney, Head of Investor Relations. Sir, please go ahead.
David Kinney: Thank you, operator, and welcome, everyone, to today's call. Before we begin the discussion, I would like to point out that a slide presentation accompanies the call and is available on our website at investors.lyondellbasell.com. Today, we will be discussing our third quarter results while making reference to some forward-looking statements and non-GAAP financial measures. We believe the forward-looking statements are based upon reasonable assumptions, and the alternative measures are useful to investors. Nonetheless, the forward-looking statements are subject to significant risk and uncertainty. We encourage you to learn more about the factors that could lead our actual results to differ by reviewing the cautionary statements in the presentation slides and our regulatory filings, which are also available on our Investor Relations website. Comments made on this call will be in regard to our underlying business results using non-GAAP financial measures such as EBITDA and earnings per share, excluding identified items. Additional documents on our investor website provide reconciliations of non-GAAP financial measures to GAAP financial measures, together with other disclosures, including the earnings release and our business results discussion. A recording of this call will be available by telephone beginning at 1:00 p.m. Eastern Time today until December 1 by calling (877) 660-6853 in the United States and (201) 612-7415 outside the United States. The access code for both numbers is 13746-207. Joining today's call will be Peter Vanacker, LyondellBasell's Chief Executive Officer; our CFO, Agustin Izquierdo; Kim Foley, our Executive Vice President of Global Olefins and Polyolefins; Aaron Ledet, our EVP of Intermediates & Derivatives; and Torkel Rhenman, our EVP of Advanced Polymer Solutions. With that being said, I would now like to turn the call over to Peter.
Peter Z. Vanacker: Thank you, Dave, and thank you all for joining today's call as we discuss our third quarter results. The LYB team is making excellent progress on managing the cycle with meaningful progress from our cash improvement plan, which contributed to our very high cash conversion of 135% in the third quarter. We're well on our way to delivering on our $600 million target by year-end and our actions are expected to increase cash flow by at least $1.1 billion by the end of 2026. Let us first take a moment to review LYB's safety performance with Slide #3. Safe operations are fundamental to our core values and essential for our future success. This is demonstrated by our September year-to-date total recordable incident rate of 0.12, which is even better than last year's top decile result. Safety performance improved year-on-year, and this sustained trend is a direct reflection of the dedication and commitment of all our employees and contractors to operational excellence. Please turn to Slide 4 as we discuss our financial performance. During the third quarter, cash generation improved as LYB continued to navigate the cycle. Earnings were $1.01 per share with EBITDA of $835 million and $983 million of cash from operating activities. We returned $443 million to shareholders in the form of dividends. Turning to Slide 5. Let's discuss some encouraging trends developing in polyethylene markets. In recent months, PE demand has started to improve following the multiyear post-COVID downturn. In both North America and Europe, 2025 domestic demand for polyethylene is the strongest we have seen since the start of the downturn in the third quarter of 2022. Despite the recent volatility in U.S. exports caused by shifting trade and tariff policies, third quarter year-to-date North American demand is up by 2.5% relative to 2024. After a prolonged weakness following the onset of the Russia-Ukraine conflict, August year-to-date polyethylene volumes in Europe are up approximately 3% compared to the same period last year. Consumer packaging demand remains resilient, reflecting the essential role of polyolefins in everyday applications despite changing consumer behavior. At the same time, investments in durable goods to support trends in energy, digitalization and infrastructure are also driving demand growth. Renewable energy and data center construction requires durable, high-performance polymers for wire and cable jacketing, conduits and water piping. Electric vehicles use approximately 10% more plastic by weight than vehicles powered by internal combustion engines. LYB's broad portfolio of innovative polymers position us well to meet the stringent performance and sustainability benchmarks required to address these attractive and growing market opportunities. Let me be clear, these are not yet green shoots for our financial results. Markets will need to absorb new capacity and operating rates will need further improvement before suppliers develop meaningful pricing power. But these inflections in demand trends are encouraging and could be the early indicators of a market recovery. With this in mind, let's turn to Slide 6 and take a longer view on demand growth for polyethylene and polypropylene. As shown in the top chart, global polyethylene demand has consistently grown at GDP plus rates of over 3% for at least 35 years. Unlike other markets like automobiles or housing, polyethylene markets have exhibited consistent growth. Even after recessionary downturns and pandemic-related spikes, polyethylene demand quickly returns to its long-term trajectory. This reflects the power of the underlying trends driving global consumption, population growth, urbanization and a rising middle class. Some observers questioned whether the flatter growth rates seen in 2022 and 2023 after the 2021 spike were reflective of a secular change. But as you can see, in 2025, we are reverting to long-term global historic growth rates of over 3%. Most consultants are predicting continued growth through at least 2035 with some shifts in share of production from fossil-based feeds towards circular feedstocks. Looking at the bottom chart, mature markets such as North America and Europe leads in per capita consumption aligned with established demand patterns. Meanwhile, emerging regions such as India and Africa, provide significant long-term growth opportunities as living standards improve in these regions. China continues to demonstrate strong volume growth, supported by its extensive manufacturing base and industrial activity. In contrast, South America reflects comparatively lower consumption, which can attribute it to a smaller manufacturing footprint and lower industrial intensity relative to other regions. These trends reinforce the importance of regional dynamics, shaping the growth of polyolefins in the global market. While mature markets remain critical for stability, demand growth within these regions will be increasingly driven by infrastructure developments, electrification, EV mobility, home care and pharma, while emerging economies will drive meaningful volume growth. Importantly, this demand growth is not negatively impacted by circularity. In fact, we are seeing growth shifting toward innovation, efficiency and circularity in these markets. LYB continues to lead in sustainable solutions by investing in innovative feedstock sourcing, positioning us to capture value across diverse markets as we advance our strategy. On Slide 7, let's shift to the supply side and discuss how capacity rationalization trends are accelerating and reshaping the global ethylene supply landscape. As seen on the chart to the left, announced and anticipated closures and idling from 2020 through 2028 add up to more than 21 million tonnes of ethylene capacity, representing roughly 10% of global supply. Asia is leading the way with recent government announcements highlighting the magnitude of this trend. South Korea is targeting closures of up to 25%, while Japan recently announced closures of 1.5 million tonnes. China is also a critical driver for global rationalization. With high costs for feedstocks, much of the Chinese petrochemical industry is on the wrong end of the cost curve. China's anti-involution measures are focused on reducing uncompetitive capacity and approvals for new facilities are facing increased scrutiny. In Europe, regulatory burdens, persistently high operating costs and weak margins are driving massive reductions in petrochemical capacity. Announced rationalizations total approximately 20% of regional capacity, and we expect more announcements will follow. The domino effect of these rationalizations is leading to an acceleration. Smaller petrochemical clusters are finding that the economics for cogeneration or industrial gas partners no longer work when a few assets are shuttered in smaller industrial parks. About 30% of all global closures have been announced in just the past 12 months, underscoring the speed and magnitude of this shift. We're confident that these closures will help to partially offset the overhang from the substantial capacity additions underway in China. At LYB, we're leveraging the market trends that reinforce our strategy. We're growing our presence in cost-advantaged regions, upgrading our challenged positions and leveraging our technology to ensure a strong presence in attractive markets. We're also cultivating deep partnerships with governments and regulators to ensure a fair trade environment and working towards smart policies, especially in Europe that will provide critical support for our industry. Now with that, I will turn it over to Agustin to discuss capital allocation and the progress on our cash improvement plan.
Agustin Izquierdo: Thank you, Peter, and good morning, everyone. Let me begin with Slide 8 and review the details of our third quarter capital allocation. As Peter mentioned, we generated $983 million of cash from operating activities, an improvement of over 2.5x relative to the prior quarter. During the quarter, we returned $443 million through dividends while funding $406 million of capital investment. Our team remains focused and committed to balanced and disciplined capital allocation as we navigate the cycle. Our investment-grade balance sheet remains our priority while we invest in safe and reliable operations and work to preserve shareholder returns. We continue to advance our strategic initiatives to build a stronger and more resilient LYB. Today, we are announcing a further reduction in our 2026 capital expenditures to $1.2 billion. We will continue to work to complete our MoReTec-1 chemical recycling facility in Germany as we work to optimize our 2026 spending on maintenance. We are continuing to make good progress on the value enhancement program, which remains on track to exceed our target for 2025. Similarly, our cash improvement plan is on track to deliver our $600 million target of incremental cash flow. Year-to-date, we have achieved $150 million in fixed cost reductions. I will review the progress on our cash improvement plan in more depth on the next slide. We are taking clear actions to ensure that we can continue to successfully navigate the cycle with a commitment to our investment-grade credit rating as the foundation of our disciplined capital allocation framework. Please turn to Slide 9, and let's continue by reviewing the progress on our 2025 cash improvement plan. For this year, we are targeting $600 million of improvement through a combination of working capital, fixed cost and CapEx reductions as part of our total commitment to deliver $1.1 billion of improvement by the end of next year. We are making progress on working capital reductions through our traditional levers of managing inventories and payables. With this in mind, we are on track to meet our target of realizing approximately $200 million of working capital reductions. As you all know, LYB has historically led the industry with a low-cost operating model. Nevertheless, we have identified further opportunities to streamline our operations and are on track to exceed our $200 million fixed cost reduction target by the end of 2025 with year-to-date fixed cost reductions at approximately $150 million relative to our 2025 plan. And from a CapEx reduction standpoint, we are making progress to reduce spending on an accrued basis, but these reductions are impacted by timing of payments with cash realization currently trailing. We continue to prioritize safe and reliable operations while making progress on MoReTec-1 and delaying construction of Flex-2 and MoReTec-2 until we see market conditions improve. Together with working capital and fixed cost initiatives, these actions position us to deliver on our target to achieve $600 million of incremental cash flow in 2025. Now please turn to Slide 10 as we outline our cash generation. Over the past year, LyondellBasell generated $2.7 billion of cash from operating activities. Our team converted EBITDA into cash at a rate of 99% over the past 12 months and 135% during the third quarter, well above our long-term target of 80%. In the third quarter, we were able to maintain robust shareholder returns with dividends and share repurchases totaling $2 billion over the last 12 months. Our cash balance increased during the third quarter to end at $1.8 billion. We will continue to take proactive steps to protect our investment-grade balance sheet as we navigate the cycle. Now let's turn to Slide 11, and I'll provide a brief overview of our segment results. Our business portfolio generated $835 million of EBITDA during the third quarter. Profitability in Olefins and Polyolefins Americas improved with lower cost of ethylene due to co-product contributions, coupled with less downtime following the successful completion of turnarounds at our Channelview complex in the second quarter. In Intermediates and Derivatives, improvements in oxyfuel margins were partially offset by planned maintenance at our La Porte, Texas acetyls facility and the normalization of unusually high second quarter styrene margins. In technology, subdued licensing activity impacted third quarter profitability and all segments benefited from our progress on fixed cost reductions. Third quarter results included identified items of $1.2 billion net of tax, primarily associated with asset write-downs in our O&P, EAI and Advanced Polymer Solutions segments related to the prolonged downturn in the European petrochemical and global automotive industries. We have also updated the guidance for our 2025 full year effective tax rate to negative 13%, primarily due to these noncash impairments recognized during the third quarter. In addition, our cash tax rate is expected to be substantially lower than our prior guidance. Please refer to our updated 2025 modeling guidance in the appendix to this slide deck describing impacts from planned maintenance and other useful financial metrics. With that, I will turn the call over to Kim.
Kimberly Foley: Thank you, Agustin. Let's begin the segment discussions on Slide 12 with the performance of the Olefins and Polyolefins Americas segment. During the third quarter, O&P Americas EBITDA was $428 million, an improvement of 35% quarter-on-quarter. Seasonally higher demand and increased utilization following our Channelview turnarounds supported sequential growth. Our third quarter operating rates for the segment was approximately 85% with our crackers running at approximately 95%. During the third quarter, North American olefins industry operating rates remained high, driven by favorable margins and good demand. Although industry margins declined, LYB integrated polyethylene margins improved by approximately 23% quarter-over-quarter, supported by the restart of the Channelview assets. During 2025, operations of our Hyperzone Polyethylene plant in La Porte have significantly improved with more uptime, higher rates and increased on-spec production of the full range of premium products. We will perform some modifications at the plant in early 2026 that should allow our Hyperzone PE technology to reliably deliver high-quality premium products with performance advantages that our customers desire. This is part of our portfolio transformation towards more specialized applications. In the fourth quarter, we expect typical seasonal trends of softer demand and customers' desire to minimize year-end inventories will pressure sales volumes. Nonetheless, producers are also seeking to minimize inventories and reductions in the industry operating rate are providing evidence of adjustments to market conditions. The balance of supply/demand will ultimately determine the success of our price increase initiatives. Sequentially higher natural gas and ethane prices are likely to result in somewhat higher costs during the fourth quarter, but we expect that this will be partially offset by our fixed cost reduction initiatives. Despite volatile oil prices, the favorable oil-to-gas ratio continues to provide an advantage to North American ethylene producers relative to oil-based production in other parts of the world. We remain focused on aligning our operating rates to manage working capital while serving domestic and export market demand. We expect to reduce our operating rates by 5% and are targeting 80% utilization across the segment during the fourth quarter. Please turn to Slide 13 as we review the results of the Olefins and Polyolefins Europe, Asia and International segment. During the third quarter, the segment generated EBITDA of $48 million. Altogether, EBITDA for both O&P segments improved by 31%. In EAI, segment EBITDA remained relatively flat as operational improvements helped offset margin pressures in polymers due to weak demand. Despite fewer operational constraints on some of our own assets, polymer margins declined due to increased competition from imports originating in cost-advantaged regions such as North America and the Middle East. We continue to advance our strategic objectives in the regions as we progress on the proposed sale of the select European assets. As part of this transaction, I am proud to share that we have achieved a major milestone with the signing of the sales and purchase agreement. This marks another step towards closing the transaction, which we expect to occur in the first half of 2026. The transaction is another example of our strategy to grow and upgrade the core through optimizing our portfolio for long-term value creation. Additionally, as part of our second strategic pillar to build a profitable CLCS business, we are making good progress on the construction of our MoReTec-1 facility in Wessling, Germany. Major equipment deliveries are underway and structural steel is being installed to position us for a successful ramp-up in 2027. Looking ahead to the fourth quarter, we expect similar seasonal softness in Europe. Rising feedstock costs are expected to add further pressure on margins. In response, we are taking steps to significantly reduce fourth quarter production. We intend to idle the larger of the 2 crackers in Wessling, Germany, OM6, for at least 40 days during November and December. As such, we are targeting operating rates for approximately 60% across the segment during the fourth quarter. With that, I will turn the call over to Aaron.
Aaron Ledet: Thank you, Kim. Please turn to Slide 14 as we look at the Intermediates and Derivatives segment. In the third quarter, segment EBITDA sequentially increased to $303 million as improved margins for oxyfuels were partially offset by planned maintenance downtime at our La Porte acetyls assets. Oxyfuels margins were supported by planned and unplanned outages that reduced the supply of high-octane gasoline blend stocks in the Atlantic Basin. Our Bayport facility had a 3-week unplanned outage related to a third-party supplier, impacting EBITDA by approximately $15 million, while other notable outages included competitors along the Gulf Coast and in Western Africa. As a result of our downtime, LYB operating rates across the segment fell 5 percentage points, short of our goal of 80% rates for the third quarter. Styrene margins normalized following second quarter supply disruptions across the industry. In September, we began a planned turnaround of our acetyls assets that will continue into the fourth quarter. The turnaround will support the first steps of our catalyst conversion initiative aimed at improving margins and productivity while reducing our reliance on costly precious metals. As we navigate the cycle, our focus on operational excellence continues to deliver results. In addition to executing on the La Porte turnaround, we recently achieved a milestone with our Channelview PO/TBA facility exceeding benchmark production rates during the quarter, reflecting focused execution and reliability across the site. Moving into the fourth quarter, we expect oxyfuels margins to moderate as typical year-end trends take hold in both gasoline and butane prices, although perhaps not as pronounced as in previous years. As part of our work to manage inventories, we will idle one of our PO/SM units in Channelview at the beginning of November for approximately 40 days. With this additional downtime, we expect to operate our I&D assets at a weighted average rate of approximately 75% during the fourth quarter. With that, I will turn the call over to Torkel.
Torkel Rhenman: Thank you, Aaron. Please turn to Slide 15 as we review results for the Advanced Polymer Solutions segment. Third quarter EBITDA was $47 million as our cost discipline supported margin improvement to overcome headwinds in automotive markets. Global automotive production volumes declined as OEMs experienced typical downtime in the third quarter and our volumes slightly declined due to lower demand from customers in the construction and electronics industries. EBITDA for the first 9 months of 2025 exceeded full year results for 2023 or 2024, clearly demonstrating the excellent progress the APS team is making to transform the business despite the challenging market environment. Looking ahead, we expect near-term demand to remain soft across key sectors and regions. Pricing pressures are partially offsetting the benefits of fixed cost reductions achieved through our cash improvement plan. Despite the challenging market backdrop, we remain laser-focused in our work to transform our APS segment to a customer-centric growth business. With a 75% improvement in our Net Promoter Score with customers since 2023 and having been recognized with supplier excellence awards by customers like Toyota, Nissan and Stellantis, amongst others, we continue to increase our growth funnel and improve our win rates to gain new project qualifications. We are proactively managing the business portfolio and remain confident that the work we are doing will profitably transform the APS business and enable us to achieve our long-term goals. With that, I will return the call to Peter.
Peter Z. Vanacker: Thank you, Torkel. Please turn to Slide 16, and I will discuss the results for the Technology segment on behalf of Jim Seward. Third quarter EBITDA of $15 million was lower than the guidance we provided during our second quarter call. Licensing profitability decreased as revenues declined and market dynamics remain challenging with very low licensing activity and lower catalyst volumes. We see licensing activity has dropped nearly 2/3 since its cyclical peak in 2018 with current levels comparable to the lows seen in the early 2000s. Underscoring the significant slowdown of investments in global petrochemical capacity. In contrast, margins for our catalyst increased on sales mix improvements. In the fourth quarter, we expect improved profitability as previously sold licenses achieve revenue milestones. Additionally, catalyst demand is expected to improve from the unusually low levels seen in the third quarter. As a result, we estimate that the fourth quarter Technology segment results will be similar to the first quarter results. Let me share our views on our key regional and product markets on Slide 17. In line with earlier comments, we expect typical year-end seasonality and our actions to proactively reduce operating rates will create headwinds across most businesses, resulting in lower fourth quarter profitability. In the Americas, exports will continue to play a critical role in balancing markets. Despite a small uptick in fourth quarter ethane costs, the U.S. feedstock-based cost advantage is durable and will sustain regional competitiveness despite trade volatility. As global trade flows adjust, these structural advantages will continue to allow LYB to capture opportunities from cost advantaged U.S. production. Within Europe, fourth quarter demand is particularly weak and polyolefin pricing remains under pressure from increased imports from the Middle East and North America. Nonetheless, circularity initiatives continue to benefit from supportive regional regulations, reinforcing consumer preferences for sustainable products in the region. In addition, accelerating capacity rationalizations will help to improve supply and demand balances across the industry. In Asia, near-term capacity additions will continue to pressure regional supply and demand dynamics. That said, we remain cautiously optimistic as recent rationalization efforts in the region as well as China's anti-involution measures could provide partial offsets over the medium term. Within packaging markets, demand remains good even amid broader economic uncertainty as a shift towards value-driven consumption for packaged foods and other essential products sustain steady demand for our products. In building and construction markets, while lower interest rates are driving an increase in mortgage applications, affordability continues to constrain pent-up consumer demand for new and existing homes. In automotive markets, forecasts have become less pessimistic in the industry as recent trade agreements are providing greater clarity and reducing uncertainty across the sector. Lastly, in oxyfuels, despite a strong October, the seasonal compression in gasoline crack spreads are expected to reduce profitability for the remainder of the year. However, we expect industry downtime will provide some modest support for margins relative to typical fourth quarter trends. As we conclude today's call, I would like to acknowledge the resilience and discipline our team continues to demonstrate. Throughout the third quarter, we faced market headwinds, and we will undoubtedly face more challenges before the year is done. But our team continues to make smart decisions while operating our assets safely and reliably to deliver on their commitments and provide value for customers. We continue to navigate the cycle with discipline, agility and a clear vision that will position LYB to emerge stronger and deliver lasting value for all our stakeholders. I am proud to lead this dedicated team as we continue taking strategic actions to reshape LYB, create value and position our company for sustainable success. Now with that, we're pleased to take your questions.
Operator: [Operator Instructions] Our first question comes from the line of Patrick Cunningham with Citigroup.
Patrick Cunningham: I guess just on polyethylene, we seem to sit in a position of pretty resilient demand and you have some confidence exiting into next year on this growth trajectory. But with $65 crude net capacity additions more likely to accelerate versus this year before closures become meaningful and then some trade flow uncertainty on top of that, how would you weight the likelihood of any sort of inflection point in supply and demand or underlying prices and margins into next year?
Peter Z. Vanacker: Thank you, Patrick. Let me make a couple of comments on your question, and then I will hand over to Kim. Rightfully so, yes, as we've shown in the presentation, you see that spike of additional capacity coming on stream in China during the next couple of years. But as we have also shown about 21 million tonnes of ethylene capacity is about to disappear as well. That's our estimation. Of course, not all of that has been really communicated and decided yet. But we believe that, that will be a good balancing out of the overcapacity. Please remind, I mean, that a lot of that capacity in China is at the wrong side of the cash cost curve, as we said in the prepared remarks. So they will have continuously difficulties to compete as well. And therefore, if margins remain low, then they would run at minimum technical capacity. So one may not, and I've said that before, look at nameplate capacities only. One needs to look at economical feasible capacity based upon current market conditions. We continue to see that polyethylene globally is very robust in terms of demand. That, of course, has to do with the different application that it goes in. Consumer packaging continues to be very robust, what we have seen also in the past during critical periods in time, like, for example, a pandemic. We also see that there is more and more support by having lower inflation rates, lower interest rates that, of course, we would expect will lead to more demand in durable goods. One may expect during the next couple of years that then the housing market would be more positive than what we have experienced in 2025. And the last thing that I want to point out is that, I mean, government spending on infrastructure is one element that is driving demand. Tech, artificial intelligence, data centers, utility construction for power, EV cars and that they all demand -- I mean, applications -- these are all applications that increase demand, not just for polyethylene, but also for polypropylene. Kim, anything you want to add?
Kimberly Foley: I think the only thing that I would add to all those comments, Peter, as it relates to LyondellBasell and our ability for an inflection point in 2026 is going to be -- there's been new capacity -- derivative capacity brought online this year by one of our competitors. And there's another proposed set of assets coming online next year. So you're going to see a tightening in the ethylene market, and that's going to likely improve chain margins as we think about '26.
Peter Z. Vanacker: And with regards, I mean, to the oil and gas ratio, I mean, we continue to believe that the high oil gas ratio is sustainable. We've seen oil gas ratios in the range of 15% to 25%. It would actually have to go down to, let's say, around 6, 7 for the productions in the Gulf Coast to, let's say, have a flattening cost curve. And we don't see that happening. We don't see that happening. We're more looking at something in the range of 12% to 15% in the immediate foreseeable future.
Operator: Our next question comes from the line of David Begleiter with Deutsche Bank.
David Begleiter: Peter, in China, can you just discuss what's happening there? You have a unique perspective getting your JV. So how -- why and how are these plants still running? Is it cheap Russian crude? Is it government support? Are they not allowed to close? Maybe you could relate that to your own experience with the [ Ningbo ] JV.
Peter Z. Vanacker: Thank you, David. That allows me, I mean, then also that question to again highlight what I said in the prepared remarks. I mean, you said it rightfully. We have a unique access to the Chinese markets also due to our licensing activities. And the licensing activities, they have dropped about 80% from its peak in 2019. So that's really what you see, I mean, that slowdown, that cyclicality because, of course, on one hand side, there is no profitability in China. On the other hand side, you hear more and more in the next 5-year plan, discussions locally going on around Italian-related projects, the burden, I mean, to get the approval from central NDRC is much higher than eventually it has been by local NDRCs in the past. If you look at our joint venture, we are running at technical minimum capacity. If you look at -- and we are in first quartile lowest cost in China. If you compare that to the others, why are they running, I mean, at minimum technical capacity and not shutting down, I think it continues to be mainly because of safeguarding employment. But everybody knows and everybody talks about the anti-involution measures. And even if it's still early and we don't have the full visibility, you saw the chart in our presentation, we do expect and hear that on the ground that there will be quite some closures that will flow out of that anti-involution. So our level of confidence from quarter-to-quarter is increasing that there will be capacity shutdowns in China. Kim?
Kimberly Foley: I think the only thing that I would add is just this week, we announced at our JV that we have added ethane to the feed slate. So we're looking to improve our cost position even more.
Operator: Our next question comes from the line of Matthew Blair with Tudor, Pickering, Holt.
Matthew Blair: Could you talk a little bit about the security of the dividend? I think the current yield is up to 12%. And despite the strong cash conversion this year, your free cash flow appears pretty unlikely to cover the dividend. So how are you thinking about this? And with the cash that you spend on the dividend, would that be better served in areas like shoring up the balance sheet or maintenance CapEx or things like that?
Peter Z. Vanacker: Thank you, Matthew. And of course, I mean, we were expecting that someone would ask that question. So thank you for asking the question. Let me highlight, I mean, 4 points on our thoughts on our dividends. First of all, as you all know, we were very careful in how we were managing our cash during the last couple of years. And I know some people have asked us questions why are we keeping that cushion. Today, I'm happy that we did those -- take those decisions in the past. So we started 2025 with a cash balance that provides us a cushion. It's a robust cash balance of $3.4 billion, which has been much higher than the cash balance that we had in the past, which was more around $1.6 billion, $1.7 billion. That's the first point. Second point, we continue to take a balanced approach to capital allocation, especially as we are navigating the cycle. We reminded you again, we are on track on the cash improvement plan, $1.1 billion at least until the end of 2026. The first tranche of $600 million until the end of 2025, we said well on track. And we also communicated today when we look into more details on our CapEx for next year that we could further reduce our CapEx from $1.4 billion to $1.2 billion again in 2026. The third point is our investment-grade balance sheet remains, of course, the foundation of our capital allocation strategy. You all know, I mean, that investment grade makes it cheaper to do business, avoids -- I mean, having to make dramatic changes to our strategy or portfolio to address, I mean, the balance sheet. And we continue to have very proactive dialogues with credit agencies. We are also fully aware of their expectations and the sensitivities. So also as part, you saw our actions of navigating the cycle, we proactively renegotiated the net debt-to-EBITDA covenants on our RCF in September from 3.5 multiple to 4.5 turns and that through 2027. And that's, of course, also -- these are activities that build trust with the rating agencies. And the last point I want to make is safe and reliable operations and sustaining CapEx remains a core priority for us. So we're not making -- we're not shortcutting. We're not putting safety and reliability in jeopardy. But as we have transformed already our portfolio, it means that also moving forward, we can do with less safe and reliability, so sustaining CapEx. And the last element is progressing, as we said, very well in that portfolio management, and that is the exit of the 4 sites, the sale that we have, as said, with very good involvement of AEQUITA in the entire process. They are very committed, so therefore, we continue to believe that we will be able to close in the first half of 2026. And that, of course, will continue to free up CapEx for LYB.
Operator: Our next question comes from the line of Jeff Zekauskas with JPMorgan.
Jeffrey Zekauskas: Your CapEx number for next year that you project $1.2 billion is below your depreciation and amortization. Are there any growth projects that are left in the capital budget for next year? And if there are, which ones? And for Agustin, do you expect your accounts payable to be very different in the fourth quarter than they were in the third quarter?
Peter Z. Vanacker: Thank you, Jeff, for your question. Let me take the first part, and then I will hand over to Agustin to take the second part. If you remember well, I mean, then we have been investing quite above, I mean, depreciation during the last at least 4, 5 years. And that gives us opportunities because we are not fully leveraging upon those opportunities yet because of where the market today is. Let me remind you that we have our Hyperzone that was standing for $170 million per year improvement. We are ramping it up. We do some additional smaller investments in Hyperzone, so to make it very further reliable. We do the investment in acetyls reliability and the debottlenecking, the new technology standing for $75 million, all of that, of course, mid-cycle margins. Our MRT-1 continue to progress, which is standing for about $25 million plus per year in EBITDA. MRT-2, we have progressed it up to a point where we said, okay, we will see, I mean, how the market further develops, but we can activate it relatively quickly if the market develops further and in addition to that, if we also -- if it fits from a cash, I mean, perspective. PO/TBA, as you know, was standing for $450 million mid-cycle margin. We've worked, I mean, on capacity creep, which adds another $50 million on top of that $450 million. We've done productivity improvements in our PO/SM, $25 million. APS, even if the market is very challenging, we continue to make very good progress. We have invested in NATPET. We're still working on the second phase. And remember, we've launched, I mean, about 3 years ago, our value enhancement program. We're well on track to exceed, I mean, the $1 billion exit run rate mid-cycle margin target for the end of 2025. Of that, real contribution is about $700 million, so what we call in period is $700 million up to the end of this year. So the delta between the $1.15 billion and the $700 million, which is about $450 million is something we did not capture yet on one hand side because of future potential growth and on the other hand side, because we are substantially below mid-cycle margins. So if you add it all up, I think we have some -- quite some impressive growth opportunities as the market continues -- as the market returns back, let's say, and we hope that, that will happen already in 2026, but definitely 2027, '28 and beyond. So with that, Agustin, the second part of the question.
Agustin Izquierdo: Sure, Jeff. Thank you for the question. Happy to answer. I think it's just consistent with the remarks and comments on operating rates that we're expecting for Q4. It is also normal that our payables will be lower, probably in the neighborhood 40, 50 lower versus what you saw in Q3. But I would also highlight that we are expecting a working capital release in Q4 close to $1 billion. This is consistent also with the cash improvement plan with all the very good measures we're taking throughout the year and not dissimilar actually to what we did during fourth quarter of 2024. So we know how to do this, and we will again be very focused on cash generation.
Operator: Our next question comes from the line of John Roberts with Mizuho Securities.
John Ezekiel Roberts: When you sell or out-license technology, the customers' plant starts up several years later, and you noted the low activity currently. But you have your catalyst sales kind of lag that. When do your catalyst sales peak? And more importantly, when is the drop off then in the new start-ups of the companies that you've licensed out-licensed to?
Peter Z. Vanacker: Thank you, John. Very good detailed question. I mean, normally, the catalyst sale, I wouldn't say it really peaks and then it drops down. It's more dependent on the run rates of the assets. So what you see today is assets that are buying our catalysts. Like, for example, in China, when they run at minimum technical capacity, then, of course, the sales of catalysts are slower because you don't consume the catalyst as fast. But as if operating rates would go up or, for example, if new investments then come on stream, then you would continue to see that our catalyst sale is going up. We've done in the last couple of years, I didn't mention that when answering the question of Jeff. But of course, during the last couple of years, we had done some investments, some debottlenecking also on the catalyst side to be prepared if the market picks up, then we would be able, of course, also to then produce and sell those catalysts.
Operator: Our next question comes from the line of Frank Mitsch with Fermium Research.
Frank Mitsch: Peter, a comment and a question. My comment or I guess to summarize your thoughtful response on the dividend is that, yes, we will pay it in the near term. Am I interpreting that correctly? And then secondly, from a high-level perspective, looking at the fourth quarter, you outlined $110 million sequential headwind from turnarounds. Obviously, we'll layer in some seasonality that's typical in the fourth quarter. Are there any other material puts and takes that we should be aware of looking at the fourth quarter relative to the third quarter?
Peter Z. Vanacker: Thank you, Frank, and thanks for wishing us a nice Halloween. I'm not going to tell you if we are having Halloween costumes here in our room. To your first question, again, as I said, on the 4 points and what you see from our actions in navigating the cycle, we have that very sharp focus on cash conversion. We have our cash improvement plan. We're proceeding very well in that. We have a strong balance sheet to start -- that we have started with, and it continues to be in very good shape. And I mean, from our history, I mean, this is a fantastic team that is really focused, I mean, on execution. The team has shown in the past that we are excellent in execution. So from that perspective, that's what we are doing. I mean, control the controllables, focus on the execution and make sure that we continue to make progress. So I don't know what else, I mean, that I should say, I mean, to that. I'm very pleased, when I see, I mean, how aligned everybody in the company is and how everybody is doing its best diligently by controlling the controllables. To your second question, Q4 outlook, you're right. I mean we -- when we looked at the market environment, and we had some work, I mean, that we wanted to do in Wessling at OM6, some work that we had to do, I mean, in Matagorda and then also looking at acetyls and PO/SM and I&D. So we said, let's take the opportunity now. Let's do it now in Q4 instead of waiting until, I don't know, maybe the second half of 2026. So then we are ready, and we don't have a lot of these downtimes with its respective impact on the bottom line for 2026. So that's a decision that we took. And as said, you rightfully recall, I mean, what that delta is compared to Q3. We have polyethylene price increases on the table. We, of course, continue to look at everything what is happening in the market. I mean, PE, polyethylene has grown. Exports continue to be robust based upon low delivered cost positions that manufacturers, including ourselves have in the Gulf Coast. So we will continue to, of course, push, I mean, for price increases because we believe it is appropriate that polyethylene prices go up. Too early to say if we will be successful, but it gets a lot of attention, of course. Maybe I want to hand over also to Aaron to talk a little bit about MTBE raw material margins, seasonality to give a little bit more color on that because October was very strong in this area.
Aaron Ledet: Yes. Thanks, Peter. I appreciate the opportunity to talk a little bit about MTBE. So it has, to your point, been a really good start to the quarter with premiums carrying over from September into October. As I mentioned in my planned remarks, much of the third quarter benefit was from both planned and unplanned outages, not only in the U.S. Gulf Coast, but in the Atlantic Basin. And as we've seen those premiums carry over into October, I just want to remind everyone that 20% of U.S. Gulf Coast capacity remains offline and should be back in operation maybe second half of November. So it's still possible that we see positive premiums carryover into November and what we would usually say is a seasonally low quarter for oxyfuels margins.
Peter Z. Vanacker: Yes. And I mean have a look, I mean, also Europe, I mean, diesel cracks are very strong with everything that is happening around Russia. Gasoline is performing better. I would point you to our gasoline inventories. They are materially lower than normally at that point in the cycle. And we're not done yet with our fixed cost reductions in our cash improvement plan. We've delivered very well in Q3. But of course, you will see more that is flowing in Q4 as well. So if I take everything together, yes, I mean, there is an impact that we have from that -- those decisions on the increased downtime in Q4, very deliberate decisions, do the turnarounds, do the maintenance work now instead of postponing it or doing it as normally we would probably say we would do it in 2026 somewhere.
Operator: Our next question comes from the line of Matt DeYoe with Bank of America.
Salvator Tiano: This is Salvator Tiano filling in for Matt. I want to ask about the slide where you show already happened in projected ethylene capacity closures. And firstly, can you discuss how many of these have already happened in prior years before 2024? Because I believe the notes says this goes back to 2020. And for both ethylene as well as polyethylene, can you talk about where operating rates are today? So essentially, how important would the incremental closures be from today rather than just focus on the 2020 to 2024 period?
Peter Z. Vanacker: Let me give it the first shot, Matt. Thank you for your question. If I look at the closures and the announcements that have been made so far, it's somewhere, let's say, in the ballpark of 9.5 million tonnes of ethylene capacity. So there's still things that have been communicated and have been talked about that we would expect to see to come up with that 21 million tonnes. The -- and again, on the 21 million tonnes, especially also on regions where it's -- these assets are not very competitive, like in Europe, for example, even if there is 20% of ethylene capacity that we expect to disappear based upon the announcements, we don't believe that we are at the end of all the announcement yet. We still expect there will be more to come. Kim?
Kimberly Foley: Yes. I think the simple answer and the reason that we created this chart the way that we did is so that you know what is closed today because so many people are announcing closures in the future, and then there's this anticipation. So I will also go back to some of the comments that Peter made in his prepared remarks. You'll notice, for example, in China, we don't show any anticipated closures, yet we all are hearing comments every day about anti-involution and what that will be. And whether you believe the criteria about 300 kt plants and 20 years or some of the new evolving criteria that is being discussed in China now, you have the potential for another 4 million to 8 million metric tons that comes out there. And then the last comment that I want to reiterate is this domino effect. A lot of these are ethylene cracker announcements. So now the feedstocks are coming out of these derivatives and industrial parks, and it leaves a lot of ambiguity around what's the steam provider going to do? What's the natural gas provider going to do? Is this still going to be an economic situation for all parties involved in the complex. So I do believe there's dominoes that we will also see.
Peter Z. Vanacker: And I want to point out to your second question on operating rates. I mean, we need to differentiate. That's a key message that I had in one of the first questions because low-cost delivered assets are running at very high capacity at this point in time because they are competitive. If you look at European capacities, if you look at Chinese capacities, then there, I would say, yes, they are running at minimum technical capacity. So that may be 70%, 75%. Some of them minimum technical capacity, if they don't have the flexibility is close to 80%. But that's the scenario that you see unfolding during the entire year 2025. And that's what you would expect also in a market where supply and demand is not balanced is that the low-cost delivered capacities will continue to make good returns, create good cash flow and run at maximum capacity, whereby the other ones are either forced, I mean, to consolidate to idle, to shut down or run at technical minimum capacity.
Operator: Our final question this morning will come from the line of Vincent Andrews with Morgan Stanley.
Turner Hinrichs: This is Turner Hinrichs on for Vincent. I'm wondering if you all can help provide some thoughts on the bridge to 2026 in I&D. Specifically, there are some items that we may need to level set for, including a sizable U.S. propylene oxide closure, potential headwinds to octane cracks from a refinery in Nigeria, assuming the rates return to high levels, reversal of this year's acetyls turnarounds for you all and U.S. Gulf Coast competitor capacity coming back online in MTBE. It'd be great to hear some thoughts.
Peter Z. Vanacker: Aaron, a question for you.
Aaron Ledet: Yes. Thank you for the final question. So maybe I'll point to a few different comments, and we have reason for optimism as we look to 2026. I'll start with PO rationalization, to your point, 10% of global capacity has been announced to come offline in the last 12 months. And so in the primary regions that we serve, we're already seeing market share improvement, particularly in the U.S. and in Europe. You spoke to acetyls. That's an investment that we've been waiting to make really at this level since COVID. We've been pushing capital out and waiting to invest in the asset. But the investment that we're making, we do expect it not only to show in terms of improvement from reliability, but we'll also see additional capacity coming out of our acid unit next year. I already mentioned in my planned remarks from a PO/TBA capacity perspective, we've demonstrated that we can run beyond benchmark rates, a little less than 10%. And remember, that's CapEx-free capacity. So I'd say that's -- combine all 3 of those, and that's the reason why I look to 2026 and have some optimism.
Operator: That concludes our question-and-answer session. I'll turn the floor back to Mr. Vanacker for any final comments.
Peter Z. Vanacker: Thank you again for all your thoughtful questions. Let me make some final comments. Our sharp focus on cash conversion, our cash improvement plan and our strong balance sheet is allowing us to successfully navigate through this prolonged downturn. And our execution track record clearly demonstrates our progress. We've captured some of the value from our past investments in the new PO/TBA facility, Hyperzone PE, the NATPET joint venture and our value enhancement program. These investments will provide further upside as markets recover. In addition, with our ongoing investments in MoReTec-1 and our acetyls technology, LYB is well positioned to capture market growth and create additional durable long-term value for our shareholders. Over the past 3.5 years, we've actively managed our business portfolio, and we are progressing well with the execution of our European strategic assessment. Upon completion, we will have established a much more focused industry-leading low-cost model. And we're finding some tailwinds for 2026 and 2027. Monetary policy is becoming more accommodative for the industrial economy. And LYB is prepared. After several years of heavy maintenance, we expect next year, we will have less downtime and our smaller footprint will require less sustaining capital to support our results over '26 and '27. We hope that you all have a great weekend and a great Halloween. Stay well and stay safe. Thank you.
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.